Operator: Good afternoon, and welcome to Shoe Carnival's Fourth Quarter Earnings Conference Call. Today's call is being recorded and is also being broadcast via live webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited. 
 This conference may contain forward-looking statements that involve a number of risk factors. These risk factors could cause the company's actual results to be materially different from those projected in such statements. These forward-looking statements should be considered in conjunction with the discussion of risk factors included in the company's SEC filings and today's press release. 
 Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only of today's date. The company disclaims any obligation to update any other risk factors or to publicly announce any revisions to the forward-looking statements talked about during this conference call or contained in today's press release to reflect future events or developments. 
 I would now turn the call over to Mr. Sifford, President, Chief Executive Officer, Chief Merchandising Officer of Shoe Carnival for opening content. Mr. Sifford, thanks again. 
Clifton Sifford: Thank you, and welcome to Shoe Carnival's fourth quarter fiscal year 2013 earnings conference call. Joining me on the call today are Kerry Jackson, Senior Executive Vice President, Chief Operating and Financial Officer; and Tim Baker, Executive Vice President, Store Operations. 
 For today's call, I will review the company's overall performance and provide some insight into the current quarter, and Kerry will review the financial side of the business. We will then open up the call up to take your questions. 
 After a high single-digit comparable store sales gain in October and November, which also included record sales for our Thanksgiving and Black Friday event, mother nature decided to give us the snowiest and coldest winter in more than a decade. With that, we experienced declining traffic throughout most of December and January in most of our geographies.  At onetime or another, during the months of December and January, we experienced over 500 instances, where individual stores were either closed for an entire day or had to close for a partial day due to inclement weather. This contributed significantly to our comparable store sales decline for the quarter of 2.5%. 
 Other than traffic, which was down mid-single digits for the quarter, all other metrics we measure ourselves by were in line. Conversion was basically flat, average transactions were up mid-single digits, which was driven in part by average unit retail and an increase in units per transaction.  
 Fashion boots for men, women and children were our best categories, with a comp store increase in the mid-teens.  Gross margins for the quarter in our fashion boot categories ran 855 basis points higher than the same time period last year. This provided an opportunity for our merchants to be more aggressive in liquidating the categories of merchandise that do not normally perform in harsh winters like we had this year.  As a result, our per door inventories at the end of the quarter were down 2.4%, with merchandise margins down just 20 basis points. 
 As mentioned on the last 2 calls, we initiated a strategy to increase inventory turns in our stores. We feel this strategy, along with our strategic initiative to raise our women's percent of total, will give us the ability over the next few years to not only improve cash flow but merchandise margins as well.  Our strategy includes flowing seasonal product into our stores on a timelier basis and aligning our lower volume stores inventory closer to customer demand. 
 We are pleased with the way our merchants are managing our overall inventory. Unfortunately, we were not able to leverage our expense structure under this lower-than-anticipated fourth quarter sales volume and reported earnings per diluted share of $0.03, which was at the low end of our most recent guidance. 
 For the year, sales in the comparable basis were flat to last year. We experienced slow -- a single-digit comp store sales increases in both the women's nonathletic, as well as children's shoes and a low single-digit comp store sales decline in adult athletics and men's non-athletic departments. 
 Moving now to merchandise highlights for the fourth quarter.  In our women's nonathletic department, comparable store sales for the fourth quarter were up low single digits. As I mentioned earlier, fourth quarter 2013 was all about boots. With the harsh winter weather beginning early in the quarter and continuing throughout the quarter, we experienced comp store sales increases in our boot categories in the mid-teens: riding boots, fur-lined boots and weather boots, all produced robust sales growth.  After the past several years of declining boot sales, it was nice to see this category perform at this unexpected level. We ended the quarter with the boot inventories down in the mid-teens on a per door basis as compared to last year. 
 In our men's nonathletic department, we ended the quarter with a mid-single-digit decline on a comparable basis. Once again, it was all about casual boots, which experienced robust sales growth in the mid-teens on a comp store basis.  Our children's nonathletic business ended the quarter with a low single-digit comparable store sales decrease. As in the women's and not men's nonathletic departments, kids' boots were the story for the quarter, producing a comp store sales increase in the 30s. 
 In athletic for adults and kids combined, comparable store sales were down mid-single digits for the quarter. As we have always said, our customer buys today what they're going to wear tonight or tomorrow. The winter weather patterns kept outdoor activity to a minimum, and we experienced declines in most categories of athletic. We believe based on SportScan data that this was a trend felt throughout the family footwear channel, as the only athletic games in the quarter came from marquee launches in the athletic specialty stores. 
 Turning now to store expansions. For 2013, we opened 32 stores and closed 7 ending the year with 376 stores and 32 states in Puerto Rico.  In addition to new store growth, we also relocated 9 stores to stronger centers. Next week, we'll celebrate the grand opening of 7 new stores and the relocation of 2 stores, as we execute our strategy of opening 30 to 35 new stores this year. Two of those grand opening new stores are in the Detroit market, where we will open an additional 3 stores during the second half of the year, giving us a total of 6 new or relocated stores in this market. The other 5 stores opening next week will be in-fill stores, as we continue to fill out existing markets where we are under-penetrated.  Our management team will continue to review our annual store growth rate based on our view that the internal and external opportunities and challenges in the marketplace. Our goal over the next decade is to double our current store base, serving markets throughout the United States. 
 Moving to e-commerce. I am very pleased with the continued progress with our e-commerce business. As you all know, we had a leadership change in this business during the second quarter of 2013. Our first challenge centered on the performance of the site and the customer experience of the site. We initiated major enhancements to the site and have comp for back to school, and we saw immediate results. We continued to tweak key elements of the customer experience through holiday, and with each change, came improved sales results. Although we don't report e-commerce sales separately, we are pleased with sales increases we are experiencing.  For 2014, we will be moving away from our third-party fulfillment arrangement in transitioning to shipping from our DC and stores. This is beneficial in many ways, but most importantly, it will allow us to increase the overall selection on the site, and it will better utilize our overall store-level inventory. 
 Turning now to marketing. As we've previously announced, we will launch our first-ever national cable television ad campaign in 2 weeks. Our marketing team, along with our agency, has put a great deal of effort into our overall marketing strategy. As we go forward with our long-range -- or our long-term growth plan, it is vital that we reinforce the Shoe Carnival brand, not only within our existing markets, but also to create name brand recognition with potential customers and new markets.  National cable TV advertising should also increase our exposure in our existing markets, where we don't currently advertise on TV, along with the exposure it gives our e-commerce business on a national scale. 
 In addition to national cable TV advertising, we are very pleased with the progress of our Shoe Perks customer loyalty program. For 2013, we've doubled our membership, and we are looking to double it again in 2014.  Shoe Perks customers accounted for more than 20% of our overall sales in 2013. Importantly, our Shoe Perks members shop us more often, and on average than almost 40% more than non-members. 
 Moving to current sales trends. For the first quarter to date in 2014, we continue to experience cold wet weather across our store base. During the first 2 weeks of February, we lost 199 store selling days due to snow and ice. Traffic for those 2 weeks was down in the teens. However, once roads were clear and customers could get out, we saw a rebound in traffic and sales, which resulted in a low-single-digit comparable store sales loss for the month. Unfortunately, we experienced similar weather issues the first week of March and, currently, our comparable store sales are down 4% for the quarter. However, we entered this year very clean on fall and winter seasonal product, which allowed us to produce merchandise margins that are significantly higher than the same time period last year. 
 We believe once spring weather patterns begin and we get closer to Easter, we will see a more positive trend. This belief is driven by the fact that even though we have experienced one of the most challenging winters in recent memory, through this past Saturday, our sandal business for the family is up in the mid-teens on a comparable store basis. In addition to sandals, we're also seeing robust sales of our fabric casuals in campus categories. As I said earlier, our customers definitely are a "buy now wear now" consumer. Our inventories are fresh and trend right, and we are well-positioned for spring selling. 
 This completes my prepared remarks. And now I'd like to turn the call over to Kerry Jackson for details on our financial results. 
W. Jackson: Thank you, Cliff. We reported net sales of  $200.3 million for the 13-week fourth quarter fiscal 2014 as compared to net sales of  with $205.7 million for the 14-week fourth quarter of 2012. Comparable store sales for the 13-week period ended February 1, 2014, decreased 2.5% as compared to the 13-week period ended February 2, 2013. 
 The components of the change on our third quarter net sales included an increase in sales from new stores net of store closings of $11.5 million, offset by declines in sales of $4.2 million in comparable stores and $12.7 million due to the net effect of 1 less week in the quarter. The gross profit margin for the quarter decreased 0.8% to 28.5%. Our merchandise margin decreased 0.2%, while buying, distribution and occupancy costs as a percentage of sales increased 0.6%. 
 The increase in buying, distribution and occupancy was primarily in our occupancy cost. Typically, we need 2% to 3% comp increase to leverage our occupancy costs at our current rate of new store growth. Selling, general and administrative expenses increased $1.2 million in the fourth quarter of fiscal 2013 to $56.1 million or 28.0 million -- or 28% as a percentage of sales. The increase was attributable to expenses related to new stores, partially offset by one less week of expenses due to the shift in the calendar, along with lower incentive compensation expense. 
 As a percentage of sales, SG&A expenses increased 1.3%, as we were unable to leverage the increase in expenses due to the client and comparable store sales and one less week in the quarter. So our closing cost and noncash impairment charges included in SG&A expenses in Q4 this year were $809,000 compared to $139,000 in Q4 last year. Net earnings for the fourth quarter of fiscal 2013 were $598,000 or $0.03 per diluted share. For the fourth quarter of 2012, we reported net earnings of $3.2 million worth $0.13 per diluted share. 
 Now I'd like to transition to our fiscal 2013 fiscal financial results. Net sales increased $29.8 million to $884.8 million for fiscal 2013, a 3.5% increase through net sales of $855 million for fiscal 2012.  Comparable store sales for the 52-week period ended February 1, 2014, remained flat compared to the 52-week period ended February 2, 2013. 
 The increase in sales for the year was due to 49 net new stores, partially offset by $10.7 million decrease of sales due to the net effect of one less week in the fiscal year. The gross profit margin in fiscal 2013 decreased to 29.3% from 30.1% in the prior fiscal year. Our merchandise margin decreased 0.4%, while buying, distribution and occupancy costs as a percentage of sales increased 0.4.%. 
 SG&A expenses increased $6.7 million for the year due in part to a $10.6 million increase in expenses for our 63 new stores, net of 14 stores closed since the beginning of fiscal 2012. These increases were partially offset by a decrease in incentive compensation of $4.5 million as compared to the fiscal 2012.  As a reminder, included in fiscal 2012, SG&A expenses were $1.2 million of net expense related to the retirement of our former President and CEO. 
 Total preopening costs for fiscal 2013 were $3.4 million, a decrease of $700,000 over last fiscal year. Of the total preopening costs incurred in fiscal 2013, $2.1 million was included in SG&A and $1.3 million was included in cost of sales for preopening rent rate. We opened 32 stores during fiscal 2013 at an average cost of $66,000 as compared to 31 stores last year, an average cost of $88,000. The decrease in the average expenditures for new store was primarily a result in decreases and expenditures for on-site training and support and advertising.  New store closing costs and noncash impairment charges included in SG&A expenses for fiscal 2013 were $1.2 million compared to $646,000 in fiscal 2012. 
 Now turning to our cash position information affecting cash flow. During fiscal 2013, we declared to pay in each quarter a cash dividend of $0.06 per share to our shareholders. The cumulative amount returned to shareholders in fiscal 2013 was $4.9 million. No purchases have been made this year under our share repurchase program. We currently have $20.3 million available under our existing repurchase authorization. Depreciation expense was $4.6 million in Q4 and $17.4 million on a full fiscal year basis. 
 During fiscal 2013, we extended $31.0 million for the purchase of property and equipment, of which $26.3 million was for the construction of new stores, remodeling and relocations. These incentives received from landlords were $8.1 million. We opened 32 new stores, relocated 9 and closed 7 stores during fiscal 2013. We remodeled approximately 9% of our store base. 
 Capital expenditure is expected to be $32 million to $34 million in fiscal 2014. As Cliff mentioned, in 2014, we expect to open between 30 and 35 new stores, which will account for approximately $15 to $18 million of our total capital expenditures. The remaining capital expenditures, $8.3 million, will be used for store relocations and the remodeling of approximately 8% of our existing store base. These incentives we received from landlords are expected to be approximately $8 million to $9 million. 
 My final comment today will focus on sales and earnings expectation for the first quarter of fiscal 2014. We expect first quarter net sales to be in the range of $232 million to $241 million compared with store sales in the range of -- with comparable store sales in the range of flat to down to 3.5%. Earnings per diluted share in the first quarter of fiscal 2014 are expected to be in the range of $0.45 and $0.52. 
 Included at the high end of the earnings estimates for the first quarter is the expectation of a significant increase in our merchandise margin. A moderate deleveraging of our buying, distribution and occupancy costs and a slight deleveraging of our SG&A expenses. The deleveraging of the expense is due primary to the flat comparable store sales expectation. This concludes our financial review. Now I'd like to open up the call for questions. 
Operator: [Operator Instructions] And we'll take our first question from Jeff Stein with Northcoast Research. 
Jeffrey Stein: First question on national advertising. I'm wondering how this will affect your ability to leverage SG&A in the current fiscal year? In other words, does the leverage point for the full year go up? And if so, what is the leverage point? 
W. Jackson: Jeff, if you wanted -- we don't have full year guidance. But if you assume a low-single-digit comp increase for the year, it will be difficult to leverage our SG&A. It won't be a dramatic deleveraging. I'd call it more like a moderate deleveraging, but there's -- it's not only the advertising, which is a big number, but since we're going to be opening more stores, potentially, if we hit the high end of our range, plus we're opening in large markets, our preopening costs are probably going to be in the middle point of the store openings for next year. We're going to increase our preopening costs about $1 million. And on top of that, if we have an acceleration in our EPS, which we'd  expect with a low single-digit comp increase, we'll see an increase in our incentive compensation. So while we'll control our expenses' divestability, those 3 items, but most particularly, the advertising increase will cause us some deleveraging. 
Jeffrey Stein: Will there be an increase by -- Kerry, by bringing your e-commerce fulfillment into the DC? 
Clifton Sifford: I don't know exactly -- this is Cliff. But we, actually, don't think that we're going to see a deleverage -- we don't believe we'll see a deleverage this year. In fact, next year, once we complete that transition, we'll be able to leverage the e-commerce shipping. 
Jeffrey Stein: So you would see a... 
Clifton Sifford: So maybe a benefit -- let me say it this way. It's more of a benefit in '15 than it will be in '14. 
Jeffrey Stein: Okay. So maybe neutral to slightly positive this year? 
Clifton Sifford: That's correct. 
Jeffrey Stein: Okay. And can you talk all about how things are going with your women's test expanding the better brands into 70 stores? How that played out in fourth quarter? And how it's progressing so far in Q1? 
Clifton Sifford: We're very happy. I'm glad you asked that question. I was going to talk about it in my prepared remarks, but it really was all about boots this past fourth quarter. We're very pleased with the performance of our test. And, in fact, we've taken it -- from the initial 50-store test, we've taken it up to over 100 stores today. And by the time we hit fall, I believe the number's 140 -- somewhere between 140 and 150 stores. The stores really got behind that the customers are reacting very favorable to the products. So we're very happy with it. There are -- some brands, obviously, are doing better than others, but overall, we're happy with the test. 
Jeffrey Stein: Okay. And Kerry, wondering if you could just talk about your -- how you see the store opening plan for the balance of the year? It sounds like maybe some stores have been pushed back to Q2 and beyond? 
W. Jackson: It is. Q2 is going to be a very big opening for us to get the stores opened for back to school. It's close to it. We'll be opening 7 in the first quarter. We could have approximately 19 stores open in second quarter, with the remainder of the stores opening at the end of the third quarter or beginning of the fourth quarter. 
Jeffrey Stein: So how would that affect -- can you just -- if you do open 19 in second quarter, what would your store opening cost look like year-on-year? 
W. Jackson: You'll see, Q1, to be relatively flat. We could be in the approximately $1.8 million increase in expenses in Q2, but we'll see some of those expenses come -- against the priority, they'll come down to Q3 somewhere in the range of $600,000 to $700,000. And then we'll probably be in the -- down $150,000 at the midpoint of the store openings. We'll be down about $150,000 in Q4. 
Jeffrey Stein: Got it. 
W. Jackson: I'd just say the net effect of all that is about $1 million increase in preopening costs. 
Operator: And we'll continue on to Mark Montagna with Avondale Partners. 
Mark Montagna: I just wanted to verify a number that I think you said, Cliff, in terms of sandals. How much did you say it was up year-to-date? 
Clifton Sifford: Our sandals were up in the teens year-to-date. It's in all categories. 
Mark Montagna: Okay. So then is any of the weakness pretty much all centered on athletic? Or what other -- any comments on the other categories? 
Clifton Sifford: Well, athletic is definitely trending down. Mark, you're good at athletics. You understand what happens. You need the weather not to be wet and snowy for athletic shoes to sell. And the weeks where we've seen temperatures moderate and the weather be dryer, we've seen good results of our athletic product. It's just that the weather has not been conducive to selling athletic shoes. Nor has it been conducive to selling women's dress -- I mean, we can -- women's dress or women's casual has been all about women's sports shoes, actually, and in South, sandals and canvas and fabric product. 
Mark Montagna: Okay. And then -- so Kerry, it sounds like if you -- with the first quarter guidance, you did comp down 3.5%. Sounds like you are -- that would imply a slight comp deceleration from where you are right now. Because I know I think you said you're up down 4% quarter-to-date, but it sounded like things might have decelerated a little bit? 
W. Jackson: Well, what we're going into is Easter last year, we're approaching that. So Easter is much later this year, instead of -- so what we're seeing is we're going to -- the comp comparisons will get worse as we approach Easter, but then -- post comparison to last year, but then when we get past Easter last year and we started accelerating to Easter this year in April, we'll see, hopefully, a strong rebound, and that's where we think that why our range is better than it is right -- where we're at right now. 
Mark Montagna: Okay. And then last two questions. Just regarding inventory. Do you have any sort of specific goal in terms of inventory turn for this year? Or some sort of rate of gain in inventory turn in coming years? And then -- really, that's the question. 
Clifton Sifford: Well, we don't normally talk about turn as on the conference call for our goals. But I can tell you that we're looking over the next several years to significantly increase the inventory turn in our store. We believe that -- we believe, first of all, that our lower-volume stores can operate as efficiently and produce sales results with lower inventory than they currently have on hand. And we think -- actually, believe our larger-volume stores, the inventory levels are just fine. So that, along with the fact that we're going to bring our product in on a timelier basis and flow the product through the season and not front-load quarters with product, I believe, you'll see significant changes in our inventory turn. 
Operator: We'll go on to Jill Nelson with Johnson Rice. 
Jill Caruthers: Quick question. I think Kerry said, for first quarter, you're expecting a pretty nice increase in merchandise margins. If you could just talk about some of the factors behind that? 
Clifton Sifford: The biggest factor, Jill, is the fact that we came clean on boots. We came through -- we came clean not only on boots, but we came clean on what we would consider to be fall and winter kinds of sports shoes. Okay? What we saw is when December does -- started trending away from us in the weather, we saw the customer traffic trending down. We had our buyers take accelerated markdowns on the product that we're not selling at really good rates. And we could afford to do that because of the margins we were making in the boot categories. Then as we went on through the rest of December and into January, our boot business continued to be fairly robust, and we ended the quarter with boots down in the teens on a per store basis, inventory wise. That then did not require us to take the deep markdowns that we took into the first quarter last year on boots. And, therefore, that's the reason the margins are up, significantly this year. 
Jill Caruthers: Okay. And then... 
Clifton Sifford: It's a long explanation, but it kind of gives you... 
Jill Caruthers: No, I appreciate it. I appreciate it. And then could just talk about a bit more on athletic. I know weather's been an impact. I think in previous quarter, you talked about maybe a customer shifting away from traditional, technical, athletic product? Can you talk about if you continue to see that shift, and maybe some of the casual stalls that are working to replace that? 
Clifton Sifford: Yes. What we've seen, and when you look at our athletic business, we don't categorize some product that's selling very well in athletic, where some of our competitors, and in fact, most of our competitors, do categorize, in athletic. So fabric product, walk-in product, that kind of casual kinds of product for athletic. If you can't play a sport in it, we don't put it in athletic. Let's just say it that way. If that can't play a sport, it goes in our casual business. And that product is still selling. Running does not sell when the weather has been like it's been, and that really is the driver of athletic. If you're not selling running product, then you're not selling -- your sales in athletic are not trending up, at least in our stores. 
Operator: [Operator Instructions] We'll go to Sam Poser with Sterne Agee. 
Sam Poser: I just want to -- as a continuation of the conversation about getting clean in boots, you're expecting accel -- I mean,  based on the guidance and current trends, you're expecting acceleration going into April, with the later Easter and so on. But how much -- if we think about -- into Q2, and I know you're not giving guidance, but how much of the loss sales of spring so far do you really think you'll be able to recapture? And how do you avoid the risk of going -- all things are going great and many buying too many sandals, and then have that cut off early for -- you know what I'm saying? It seems to me, this season maybe a little shorter. And how do you avoid getting ahead of yourself if the momentum just does pick up? 
Clifton Sifford: I'm going to take it back 2 years, Sam. Two years ago, we had an early spring. First quarter was very moderate from a temperature standpoint. We sold sandals and spring product early, February, March and April and reported a pretty good first quarter. This is at mood from the second quarter to the first quarter and, consequently, our second quarter was not as good from a sandal and spring product standpoint. Last year, it was just the opposite. We had colder, more seasonal weather in the first quarter not quite like it was this year, but colder, more seasonal weather in the first quarter and sandals and spring and summer product sold later. It came in April, in May, in June. And do you remember, I was talking -- you remember I was talking about that last year. So what we did is we're not going to take -- we're not going to get excited and take markdowns on sandals and spring product today, because the weather is what it is. And we're going to -- we believe -- and we believe this because what we've seen and what we've already seen in the south, we believe that this is going to accelerate as we move into April and the weather gets more seasonal. And then, obviously, as we go into May and June -- well, at least, hopefully, as you go in May and June, we'll see a more moderate trend from a weather perspective. That doesn't mean we're going out and buying more sandals, because we're not. We feel we're -- we feel that the sandal flow that we have today, and some of that is still coming in, is a good flow and will be -- that we'll just transition ourselves later in this quarter and into next quarter. 
Sam Poser: And then you're trying to build up the women's business. That's a big push for you guys to increase penetration of women's, but there doesn't appear to be a lot of big trends out there that are identifiable to drive it outside of maybe items and sandals and so. I mean, how do you -- how are you planning on attacking that, looking into this year? I don't need brands or anything that... 
Clifton Sifford: Almost entirely by price, almost entirely by average unit retail. As we elevate the level of the product in our stores, we're seeing average unit retails escalate in -- especially, in our women's area. And we may not sell as many pairs because, as you said, there's not a lot of identifiable trends today other than items, but the average unit retail that we achieved out the door will be the driver. 
Sam Poser: And then, I mean, and how are you -- I mean, how are you looking at like the boat shoes this year compared to last year and some of the big ones that we're driving last year? Boat shoes did do a nice job of driving some sales in the spring. I mean, how do you look at that when you're lapping that right now? 
Clifton Sifford: Well, we -- here's the way I'll answer that -- as we see nice increases in our fabric and canvas product, and we do see that the young people are moving away from more traditional leather kinds of products. And we -- I think we talked about that at back-to-school last year. And that continued on through the fourth quarter, and we're seeing that in the first quarter. We'll lap that as we get closer to back-to-school this year. But that young customer that was buying boat shoes -- or leather boat shoes a year ago has definitely transitioned to more fabric and canvas product. 
Operator: We'll take our final question from Steven Martin with Slater Capital. 
Steven Martin: I won't ask you the obvious question that relates to your cash balances, so you don't have to... 
Clifton Sifford: Then, we appreciate you're not. 
Steven Martin: Okay. Canvas. There were like -- there are 2 or 3 areas of canvas. You've got the BOBS, you've got the Vans kind of shoe, and you've got more of the rubber-bottom sneaker Keds and Converse. Can you give us a little more specificity on what's working in canvas? 
Clifton Sifford: And I do appreciate you asking the question, but we won't get specific on brand. Just... 
Steven Martin: What type of shoe? 
Clifton Sifford: Casual, canvas or fabric shoes for women, kids and even men's are all selling well, and whether that's boat shoes or just canvas casuals. 
Steven Martin: Okay. When you look at -- when you look out to 2014, and I know you're not going to -- you're not giving us guidance for the full year, can you talk about ASPs? Obviously, with the women's -- that women's test store roll out and expansion, the ASPs for that category are going to improve. But when you look out across the rest of your categories, have you seen ASPs evolving? 
Clifton Sifford: We are definitely looking for ASPs to escalate in women's and in athletic. I believe that ASPs and kids will be somewhat flat and men's will be somewhat flat. So overall, I believe ASPs are going to escalate in low- to mid-single digits. 
Steven Martin: Okay. And in the line category recognizing that it's been retarded by the weather, what's the new -- or what are the Nike technologies that -- or other technologies that you've gotten in to help drive that business versus the last couple of years? 
Clifton Sifford: Well, the good part about Nike is they continue to bring innovation to the family channel. And we're -- they've given us, and I don't really want to get specific with that as well, because I got to remember our competitors listen to this call, and I don't want to tell them which way we're headed. But they give us new technologies and with those technologies, some are exposed, some are lightweight in nature, but they are all new and -- not all new, excuse me, I didn't mean to say it that way. But they're new and exciting, quite frankly, when you look at them, very sellable and very commercial. And they are, by far, the leader in that. Everybody else seems to -- well, everybody else in the performance arena. Some of our fashion brands in athletic continue to bring innovation as well. 
Steven Martin: Okay. And in the basketball category, obviously, you guys would love to get some Jordan launch product, but... 
Clifton Sifford: That's just, by far, just Jordan knockoffs. The good news was... 
Steven Martin: What's Nike doing for you in that area? 
Clifton Sifford: Well, I won't -- again, I'm not going to get specific there, but I will tell you this that any time athletic performs in a mall and -- it has a halo effect, and, eventually, it comes down to our channels. The -- all the major brands take what works in a mall, and they try to interpret that as best they can for the family channel, and we usually benefit from that. 
Steven Martin: Okay. And one last one since I was the last question anyway. Have you seen any change, improvement in JCPenney? 
Clifton Sifford: I'm not really sure where you're going with that. We shop them often, but I'm... 
Steven Martin: I meant in their footwear assortment, obviously. 
Clifton Sifford: I just can't go there right now. I'm not going to talk about my competitors on a conference call. 
Operator: And gentlemen, we do have a follow-up question from Mark with Avondale Partners. 
Mark Montagna: So is the rise in average selling price in women's, is that solely related to the higher-priced line in women's, or are you seeing it across the board? 
Clifton Sifford: Actually,  3 reasons: one, the newer-priced lines, the newer higher inlines are, obviously, delivering higher ASPs than we've had in the past. But what we've learned from that, Mark, is that we don't have to -- if we're developing a sandal or something even in our private label program, we can build that up. Our customers understand, and shown us that they understand value and better products. So we have even taken our -- some of our private label or unbranded product and moved that up in quality. And I think that the customers recognize that and have bought into that. And number three, and as importantly, is we came into the new year so clean in our inventory that we haven't had to clear product, which, obviously, drops price -- average price down. And so the 3 of those combined would drive average price this year. 
Mark Montagna: Okay, okay. And then in the pockets of warm weather, is it more pockets? Or is it like a region, when you say the south? And is the strength in these regions, is that being -- is that more than just sandals, such as perhaps athletic, and these areas where it's actually perked up in terms of weather? 
Clifton Sifford: That's more pockets than it is regions, because our regions are kind of somewhat broad, so -- but what we've seen, and it's not just the south where we've seen pops in sandals. Any time we get a warm weather trend in any of our regions or any part of the country, we see a pop in sandals, and that's a positive thing. That's one of the things that -- one of the reasons why we're guiding at flat, the 3.5% down instead of where we are currently. As far as athletics, our concern in those pockets that we've seen that has continued to have warm weather athletic business is okay. I'm not going to tell you it's great, but some of that has to do with the fact that, again, we track certain shoes that if a canvas can walk in. If it can't be played in a sport -- that's the best way to say it, if it can't be used in a sport, it reports to our women's business. 
Operator: And gentlemen, on that note, we have a follow-up from Jeff with Northcoast Research. 
Jeffrey Stein: Kerry, just a couple of quick ones for you. What were preopening costs for the full year? And what were they in the fourth quarter? And I'm sorry if I missed it. 
W. Jackson: For 2013? 
Jeffrey Stein: Yes. 
W. Jackson: $3.4 million for the full year, and we're at, for the fourth quarter, preopening costs in both the buying industry stocks[ph] and SG&A were $477,000. 
Jeffrey Stein: Okay. And do you have that number broken down just for SG&A, for the year and some quarter? 
W. Jackson: SG&A was $286,000 for the fourth quarter and $8.1 million for the full year. 
Jeffrey Stein: Okay, all right. And you're expecting them to be up $1 million this year, and that's across both SG&A and buying and occupancy? 
W. Jackson: Yes. 
Jeffrey Stein: Okay, so the $1 million increase covers both, right? 
W. Jackson: Yes, it does. 
Jeffrey Stein: And depreciation and amortization estimate for this year? 
W. Jackson: We'll be in the $20 million range. That'll be up from about $17.4 million this year. 
Operator: Thank you. With no additional questions in the queue, I'd like to go ahead and turn things back over to our speakers for any additional or closing remarks. 
Clifton Sifford: Well, I want to thank everyone for participating today, and I look forward to speaking to you again in May. Thanks again. 
Operator: Thank you. And again, ladies and gentlemen, that does conclude today's call. Thank you, all, again for your participation.